Operator: Good morning, and welcome to Monmouth Real Estate Investment Corporation's Third Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. It is now my pleasure to introduce your host, Ms. Susan Jordan, Vice President of Investor Relations. Thank you, Ms. Jordan. You may begin.
Susan Jordan: Thank you very much, Operator. In addition to the 10-Q that we filed with the SEC yesterday, we have filed an unaudited quarterly supplemental information presentation. This supplemental information presentation along with our 10-Q are available on the Company's website at mreic.reit. I would like to remind everyone that certain statements made during this conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although the Company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the Company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the Company's third quarter 2018 earnings release and filings with the Securities and Exchange Commission. The Company disclaims any obligation to update its forward-looking statements. Having said that, I'd like to introduce management with us today, Eugene Landy, Chairman; Michael Landy, President and Chief Executive Officer; Kevin Miller, Chief Financial Officer; and Richard Molke, Vice President of Asset Management. It is now my pleasure to turn the call over to Monmouth's President and Chief Executive Officer, Michael Landy.
Michael Landy: Thanks, Susan. Good morning, everyone and thank you for joining us. Monmouth had a very productive third quarter in the midst of an excellent year. During the quarter we acquired two brand-new Class A built-to-suit facilities. These acquisitions contain a total of approximately 762,000 square feet and represent an aggregate cost of $64 million. One of these acquisitions is leased to B. Braun Medical for 10-years and the other facility is leased to Amazon for 11-years. From a run rate standpoint we expect these two properties to generate a combined total annual rent of approximately $4.2 million, representing an initial unlevered return of 6.6%. We finance both of these properties with two fixed-rate mortgages totaling $38.5 million with a weighted average interest rate of 4.2% and a weighted average debt maturity of 14.5 years. Our B. Braun Medical facility located in Daytona Beach Florida near the tenants new manufacturing facility and is in close proximity to the Daytona Beach International Airport and Interstate 4. B. Braun is a 179-year-old privately held medical device company that manufactures markets and sells various healthcare products worldwide. The Florida economy consistently ranks as one of our nation's strongest and Monmouth is benefiting from having 11% of our property portfolio located in the sunshine state. Our Amazon acquisition is located in Mobile Alabama and represents our second property leased to Amazon. In regard to e-commerce sales, expected to reach nearly $0.5 trillion this year and Amazon represents approximately 40% of this market. The Port of Mobile has been experiencing substantial demand as a result of the recently completed Panama Canal expansion. With two interstate highway systems and five Class-1 railroads serving the port, this region is very well situated to benefit from meaningful long term growth. Thus far in fiscal 2018, we have acquired five buildings comprising two main square feet with 260.4 total acres for a total purchase price of $174 million. Through the first three quarters we have generated 9% growth in our gross leasable area and a 15% increase over the prior year period. Additionally during the quarter we sold two properties totaling 156,000 square feet for net proceeds of approximately $11.6 million resulting in a net realized gain of $2.1 million. Our acquisition pipeline grew over the quarter and now contains four properties all of which are leased to FedEx ground. These four properties contain 1.1 million square feet and represent an aggregate cost of $221.4 million. We anticipate closing these four separate transactions during the remainder of fiscal 2018 and a first half of fiscal 2019. And keeping with our business model, these future acquisitions comprise brand new well located Class A single tenant built-to-suit projects that were either recently completed or currently under construction. These properties contain long-term net leases with the weighted average lease maturity of 13.9 years. The weighted average cap rate on these pipeline transactions is 6.1%. Subject to satisfactory due diligence, we anticipate closing these transactions upon completion and occupancy. We ended our quarter with a sector leading portfolio occupancy rate of 99.6% representing our tenth consecutive quarter with an occupancy rate above 99%. Our occupancy rate is down 20 basis points compared to the prior year period and is up 40 basis points sequentially. Our gross leasable area at quarter end comprised 20.5 million square feet consisting of 109 properties geographically diversified across 30 states with strategic concentrations around the Gulf and East Coast Port regions. Our weighted average building age at quarter was 8.8 years providing Monmouth with one of the youngest and most state-of-the-art portfolios in the industrial REIT sector. From a leasing standpoint in fiscal 2018, 16 leases totaling approximately 1.5 million square feet or 8% of our gross leasable area are scheduled to expire. I am pleased to report that thus far, 10 of the 16 leases have been renewed. As previously reported, one of the 10 leases, which is with FedEx Ground for a property located in Charleston, South Carolina, renewed for only four months as the tenant plans to move its operations from our 92,000 square foot facility to the new 261,000 square foot facility that we are currently under contract to acquire upon completion. This property will be leased to FedEx Ground pursuant to a new 15-year lease. We are currently marketing the 92,000 square foot facility. The other nine lease renewals to date represent approximately 890,000 square feet or 58% of the expiring square footage. These nine renewals have a weighted average lease term of 6.5 years and result in an increase in the weighted average lease rate of 3.9% on a GAAP basis and 2.4% on a cash basis. Of this six remaining leases originally said to expire during fiscal 2018, three of the properties were sold generating a net realized gain of approximately $5.3 million. These three properties represent 12% of the expiring GLA for fiscal 2018. Additionally, one property representing 14% of the expiring square footage was retained for three years. The remaining two properties of which only one is currently vacant are under discussion. We expect to have - more to report on these properties in the fourth quarter. Our REIT securities investments performed very well during the quarter with a total value of $167.6 million at quarter end representing a 16% increase over the prior quarter. All of this increase is attributable to rising prices on our holdings. Our unrealized loss at quarter end was $8.4 million representing a $22.8 million improvement over the prior quarter. Our securities and investments generated $3.6 million in dividend income during the recent quarter, representing a 91% increase over the prior year period. At quarter end, our REIT securities investments represented 9.2% of the total undepreciated assets. We would note that since fiscal 2010, our securities portfolio has generated $41.8 million in dividend income, and $30.8 million in net realized gains. This quarter we added a new page to our supplemental package, detailing the historic performance of our REIT securities portfolio. With regards to the overall U.S. industrial market outlook, 2018, is shaping up to be another record year. Net absorption for the quarter was 64.1 million square feet and 126 million square feet, year-to-date. The U.S. industrial market has now enjoyed 33 consecutive quarters of positive net absorption. The national average vacancy rate continues to show strength and is currently 4.4%, representing a 10 basis point improvement from the prior quarter, and a 100 basis point improvement from the prior year. This marks the lowest vacancy level in over 30 years. This increased demand has been driving rents higher to an average asking rent of $6.11 per square foot, representing a 7.2% increase over the prior year period. Currently there's approximately 267 million square feet of new industrial construction taking place in the U.S., representing a 15% increase over the prior year. Approximately two thirds of this new supply is speculative development, intermodal rail volume, which correlates closely to warehouse demand has been posting historically high numbers during the quarter with weekly container units averaging an all-time high of 290,000 units per week during the month of June. The U.S. economy continues to show strength with the initial REIT on second quarter real GDP weighing in at an annualized rate of 4.1%. This marks our nation's most productive quarter in four years and provides a very strong signal to continued outperformance to the industrial real estate sector. Lastly, before I turn it over to Kevin, there has been much commentary at late about the rising trade tensions throughout the world. We believe lower trade barriers will foster greater global economic growth and hopefully that will be the end result here. I'd like to remind everyone that Monmouth's property portfolio possesses the defensive attributes inherent with having long-duration leases to investment grade tenants, and this factor combined with our strong balance sheet has allowed us to consistently perform well throughout periods of turbulence and uncertainty. And now Kevin will provide you with greater detail on our financial results for the third quarter of fiscal 2018.
Kevin Miller: Thank you, Michael. Core funds from operations for the third quarter of fiscal 2018 were $18 million or $0.23 per diluted share. This compares the core FFO for the same period one-year ago of $15.4 million or $0.21 per diluted share, representing an increase of 10%. Adjusted funds from operations or AFFO, which excludes security gains or losses was $0.22 per diluted share for the recent quarter, representing an increase of 16% over the prior year period. Rental and reimbursement revenues for the quarter was $36.2 million, compared to $28.6 million or an increase of 27% from the prior year. Net operating income increased $4.8 million to $28.8 million for the quarter, reflecting a 20% increase from the comparable period a year ago. This increase was due to the additional income related to the 10 properties purchased during fiscal 2017, and the 5 properties purchased during the first three quarters of fiscal 2018. Net income excluding depreciation was $23.7 million for the third quarter compared to $19 million in the prior year period representing an increase of 25%. Again, this improvement was driven largely by the substantial acquisition activity that occurred over the past year. With respect to our properties, as mentioned, end of period occupancy decreased 20 basis points from 99.8% in the prior year period to 99.6% at quarter end, and was up 40 basis points sequentially. Our weighted average lease maturity as of the quarter end was 7.8 years, which remained unchanged from the prior year period. With regards to our same property metrics for the current nine month period, our same property occupancy decreased 30 basis points from 99.8% to 99.5%, while our same property NOI remained relatively unchanged. As Michael, mentioned, our acquisition pipeline now contains 1.1 million square feet, representing $221.4 million, comprised of four acquisitions scheduled to close over the next several quarters. To take advantage of today's attractive interest rate environment, we've already locked in very favorable financing for all four acquisitions. The combined financing terms for these four acquisitions consists of $142.1 million in proceeds, representing 64% of total cost, with the weighted average interest rate of 4.1%. Each of the four financings are 15 year, self amortizing loans. These four acquisitions result in a weighted average loans return on equity of approximately 13%. Thus far during fiscal 2018, we fully repaid four mortgage loans, totaling approximately $8.6 million with fixed interest rates ranging from 5.2% to 6.8% associated with these properties. These newly unencumbered properties generate over $2.6 million in net operating income annually. As of the end of the quarter, our capital structure consisted of approximately $815 million in debt of which $657 million was property level fixed-rate mortgage debt and $158 million were loans payable. 81% of our total debt is fixed rate, with the weighted average interest rate of 4.1% as compared to 4.2% in the prior year period. We also had total of $277 million in perpetual preferred equity at quarter end. Combined with an equity market capitalization of $1.3 billion, our total market capitalization was approximately $2.4 billion at quarter end. From a credit standpoint, we continue to be conservatively capitalized, with our net debt to total market capitalization at 33%. And our net debt plus preferred equity to total market capitalization at 45% at quarter end. In addition, our net debt less securities to total market capitalization was 26% and our net debt less securities plus preferred equity to total market capitalization was 38% at quarter end. For the three months ended June 30, 2018, our fixed charge coverage was 2.4x. Our net debt to EBITDA was 6.6x. The ratio of our net debt less our REIT securities portfolio to EBITDA was 5.2x. From a liquidity standpoint, we ended the quarter with $6.9 million in cash and cash equivalents. In addition, we held $167.6 million in marketable REIT securities with $8.4 million in unrealized losses. At quarter end, our $167.6 million REIT securities portfolio represented 9.2% of our undepreciated assets. Additionally, we had $90 million available from our credit facility as of the quarter end, as well as an additional $100 million potentially available from the accordion feature. And now, let me turn it back to Michael, before we open up the call for questions.
Michael Landy: Thanks Kevin. To summarize, this was another solid quarter for Monmouth, with double-digit per share earnings growth. Our portfolio is now delivered 10 consecutive quarters of above 99% occupancy. We've achieved meaningful growth for acquisition pipeline reflecting our continued ability to source very high quality acquisitions in a highly competitive environment. We'd now be happy to take your questions.
Operator: [Operator Instructions] And our first question will come from Jeremy Metz of BMO Capital.
Alex Nelson: This is Alex Nelson on for Jeremy. On the acquisition pipeline, you guys walked through some of the funding sources for it. But can you talk about the markets that you're looking at, is it similar to the markets you've been targeting recently?
Michael Landy: Absolutely, we're targeting Gulf and East Coast port markets. We're targeting business friendly states. The markets where our pipelines in includes, Savannah Georgia, Vanna Georgia, Charleston, South Carolina, and New Jersey, New York, Tri-State region
Alex Nelson: On the securities book, the value of the holdings has recovered in the last quarter. So could we possibly see you guys take some of the chips off the table and reduce the overall book size?
Kevin Miller: Not really, as a percentage of gross assets, it appears high at the moment at 9.2%, But we have $225 million in our pipeline approximately. So that will take it down to about 8% of gross assets, once we close those transactions. We invest in real estate for the long term. The only time we've taken chips off the table is when we've had substantial gains and then we reallocate those proceeds if we feel REIT securities are at a premium to private real estate pricing. Currently, it's the exact opposite. Private real estate valuations are at all time highs. Our REIT securities are still at big discount to NAV albeit our portfolio. So $22.8 million in appreciation over the quarter, that's like a 64% annualized improvement which we don't anticipate happening. So you can't be right with the spread between private market valuations and public market valuations, it can't last indefinitely. We've seen big asset managers like Brookfield and Blackstone acquire whole public REITs. So it's a buying opportunity, but given the size of our pipeline, we're not growing our portfolio at the moment. Strange as this may sound, I kind of wish the portfolio stayed at those discounted prices because I'd rather invest in liquid real estate at bigger discounts. But it's come back in and we've had three years of underperformance by the REIT index. I think the total return in 2016 was up 2.5% for the REIT index, total return in 2017, 5.1% for the REIT index; year-to-date, it's up 1.1%, so, substantially underperforming the broad market over the last three years. As we mentioned in our prepared remarks, we put together a summary of our performance in our in our sub this quarter. And doing the math, we've outperformed the REIT index by an average of 1,100 basis points annually over the past eight year periods. So even though the REIT index is underperformed the broad market, we've substantially outperformed the REIT index. And so, to answer your question, we're happy with having liquid real estate on our balance sheet and only take chips off the table when REITs are trading at a big premium.
Alex Nelson: Just one more from me. The leasing side, you guys have two weeks left to take care of and then the FedEx lease moving into your new space. In 2019 you guys have 1.4 million square feet coming up, have you started to look at taking those leases down or when will that process start?
Michael Landy: Sure, Alex. I'm going to turn that over to Rich Molke, our Vice President of asset management because he handles the leasing. Before I do that, I'll just say we're now in our 11th consecutive quarter of above 99% occupancy, by far the highest in the industrial sector. Hopefully soon we'll be seeing in our fourth consecutive year of above 99% occupancy, and the reason for that is we invest in long term leases to invest in grade tenants. There was an article in The Journal, this Wednesday, about smart warehouses. FedEx represents a big percentage of our gross feasible area. Those are very smart buildings, the most high tech automation in any industrial asset you could find. And so when a tenant makes such a substantial investment in the infrastructure of the facility, it renders a long duration tenancy. And so with 99.96% percent occupancy, only 40 basis points of vacancy -- I’ll turn it over to Rich, but I think 2019 is well poised to be more of the same. Go ahead Rich.
Richard Molke: So 2019, it's a bit early to get really granular but we are in active negotiations with numerous facilities. We have 10 leases rolling, as you said, a 1.4 million square feet about 7% of GLA. Four of those leases are FedEx leases, which is about 50% of the expiring GLA. And the only definitive one we have now to talk about is a signed amendment at our Jacksonville FedEx Express building for 10 years. So in the next few quarters hopefully we have more to update here.
Alex Nelson: So, here to put you on the spot Rich, but if I may, 2019 can you keep occupancy above 99%?
Richard Molke: That's what we're shooting for, so.
Alex Nelson: We'll hold you to it.
Michael Landy: Okay, Alex, sorry to steal your thunder. Any other question?
Alex Nelson: No, thank you. That's it from me.
Operator: The next question will come from Rob Stevenson of Janney.
Rob Stevenson: Mike, is there anything particularly noteworthy about the four assets in that $221 million development pipeline. The reason why I ask is, if I do the math, it looks like that you are at over $200 of square foot for those assets collectively, which is more than 2x, the Amazon asset that you just acquired this quarter, and nearly 3x the Braun asset in Daytona Beach. Is it just closer to the water and ports? Is there something different about the construction of those assets? What's driving the per square foot price up so high on those assets?
Michael Landy: Sure, there's two key attributes driving that. First of all, land is the most expensive component in industrial construction by far. And the land to building ratio of these four deals comes out over 9x. So, with 235 acres in the four properties, you're going to have a higher cost per square foot. So that's just the ample land -- when you price a building, it's priced per square foot of the building. But these FedEx facilities have hundreds of trailer parking, stand delivery parking, employee parking, the parking lots like the size of a mall parking lot. And they have to pay rent on that. There's a cost for all that land. So with over 9x coverage in markets such as the New York, New Jersey metropolitan region, Atlanta, Georgia, Charleston, and Savanna, these are expensive markets. There was a FedEx asset they traded recently in Queens for $760 a square foot. And of course what drove it was the high cost of land there. When you have all that ample land, you have the ability to expand the facility down the road. FedEx, as I mentioned earlier, makes multimillion dollar investments in the infrastructure, as does Amazon, as does many of our other tenants. So you're sitting with a property that the tenants are going to be in for a very long time. Over the last five years we've done 16 expansion projects for about $60 million. That's almost three quarters of a million square feet, we've done parking lot expansions on top of that fairing over $6 million in annual rent. We have two expansions going on right now. So you're paying for all that land now, and it gives you the ability to grow as the tenant's business grows.
Rob Stevenson: How much in terms of extra land for extra square foot is around those four assets? I mean, look at that 1.1 million square feet go-to, was that an extra 100,000 square feet on all four combined for expansions? What's the magnitude of the expansion capacity there given your comments about how much parking and everything that they need that you couldn't take away all of that?
Michael Landy: It's not like a set equation. You have 11% coverage. The building is only covering 11% of the land. How much of it is developable, you have to look at the property case-by-case. We have an Amazon in Oklahoma City with 125 acres, and the building is only 350,000 square feet, but of that 125 acres, maybe 90 acres are developable. So you got to look at each property and how much is tied up with parking. And these tenants are building extra capacity, so they're not starting the lease, running at 100% capacity. They know the e-commerce is growing by leaps and bounds and so they're throwing the ball long down the field for where demand's going to be in the future. And so by the time they actually call us to expand the building, that's down the road. Having said, I would say 25% to 35% expansion capability is a good conservative answer to your question.
Rob Stevenson: And then in the portfolio of today, I mean of the -- how many expansions that you guys are working on right now?
Michael Landy: We have two going on right now.
Rob Stevenson: And then over the next year, I mean in -- starting discussions with others on other expansions at this point?
Michael Landy: There's been discussions, nothing to report yet though, unfortunately.
Rob Stevenson: And then, when you guys look at the -- funding the equity component of that $221 million. How are you guys thinking about that, is that the DRIP, is that preferred, is that potentially some additional asset sales? How are you guys thinking about the -- keeping your leverage levels at sort of current levels and funding that equity component.
Michael Landy: Ideally and what we've been using the last several years is been - money raised through the dividend reimbursement plan and over the last year, money raised through the preferred ATM. So, ideally it's something that capital markets remain as they are, that will be how we'll be funding it. I know Kevin has already locked in a lot of the debt financing. So, let me turn it over to Kevin, and let him drill down deeper.
Kevin Miller: As Mike mentioned, we've already locked in all four deals financing about 63%, 64% of it. So, that takes care of most of the financing needs. And there were long term loans, they were 15 years - I'm sorry, the loan grains between 10 and 15 year with a weighted average loan maturity of little under 14 years, and it's all locked in with fixed interest rates of about 4.1%. I'm sorry, I got it mixed up bit. The weighted average lease maturity of the loan is under 14 years old. All four loans are 15 years, self amortizing loans. And then for the remaining amount of money that we're going to need to fund out as Mike mentioned, we'll be using the DRIP, we'll be using the SIP. So far this year we've raised about $68 million through the SIP, and so we'll continue to do that. And the ATM, so far this year, we've raised - I guess through the ATM since its inception we've raised about $71 million, we raised about $4 million last quarter and it's started picking up, but we had put a hold on it because we're filing our cues. So, hopefully when we are able to reopen it that will continue to raise money. And now so as we mentioned on the call, we have a line credit, there's $90 million left on the remaining available line of credit, and another $100 million accordion feature, which we can access if we choose to do so.
Rob Stevenson: That $68 million that you said that you raised under the DRIP, is that calendar or fiscal year?
Kevin Miller: It was about $25 million a quarter - last quarter we cutback a little bit about $19 million and it comes to about $68 million for the three quarters.
Rob Stevenson: Okay. Thank you.
Michael Landy: Just to jump in on the preferred ATM, for the nine months we raised $31 million, none over the last quarter but some subsequence of the quarter in addition to that $31 million.
Operator: The next question comes from Craig Kucera of B. Riley.
Craig Kucera: Congrats on seeing a nice pick up in the acquisition pipeline. Mike, I'm curious did you source your transactions any differently this quarter.
Michael Landy: No, I think the beauty of a 5th year old public company is we have long-term relationships, broad relationship throughout the merchant builder community, and these deals were sourced from existing relationships.
Craig Kucera: And I know in the past you've spoke about potentially some folks out there trying to slip some properties. Are you still seeing that? And was that any component of the pipeline?
Michael Landy: No comment.
Craig Kucera: Fair enough. When you think about the pipeline now and kind of what you close - and you closed in a property earlier this year in Savannah. Are you intentionally going after assets that are a little bit more driven by what's going on with the Panama Canal expansion or is it just a - these happen to be the transactions that you won the bids on this, this quarter, because it does seem to have a bit more of a tip for that?
Michael Landy: No, of course, location is foremost in our thinking of where we allocate capital. Looking back, we hitched our wagon to FedEx in 1994, only for e-commerce, we saw the analog world shifting to digital and invested in the digital revolution way before anybody was talking about e-commerce. My father is an old sailor been through all the ports of the world and saw the supply-chain shipping being chased, quite frankly, out of California to alternative options that were more accommodating. And so we started investing along the Gulf ports and up the Eastern Seaboard. So a very conscious decision that goes back many, many years. And now it's playing out similarly to the e-commerce revolution, the global supply chain shift is playing out just how we envisioned it. Caribbean of the current trade war rhetoric which is created in short term uncertainty over the whole horizon.
Craig Kucera: I know in the past you've been expecting FedEx to slowdown it's growth and at certain point in time you thought they would but they continued to grow robustly. Are they back to accelerating or you pretty much winning a higher percentage of market share than maybe you have in the past?
Michael Landy: On a percentage wise, we're picking the best spots to invest. We're certainly not zealous on diversification by any means. I think turning down a good FedEx deal would be a great textbook example of what Peter Lynch called diversification. So, we're happy now to take these giant FedEx buildings with the state-of-the-art automation, 15 year leases, ample acreage. We're going to invest in those. They're some of the best industrial assets you can invest in. And to your point, FedEx is not going to expand their network forever. E-commerce is been growing, and everybody's playing catch-up, and retail standings migrated from traditional brick-and-mortar online. And so the network needs to be expanded but at some point, the network will accommodate the digital error. And so we're not going to be asleep at the wheel and turn down FedEx deals, we're just going to pick the best ones and we've grown alongside FedEx since 1994, and it's been very lucrative all along the way.
Operator: And our next question comes from Merrill Ross of Boenning.
Merrill Ross: I wondered if you could give some insight on the timeline for the four properties under development. Will they all hit at once or will they be a sequential? I mean, and we think you would have some idea of when they'll get delivered?
Michael Landy: These things never play out exactly how you think but generally speaking, 66% of the pipeline should close this fiscal year. And then the other 33% in - certainly the first half of 2019, ideally the first quarter of 2019.
Operator: And the next question will come from Barry Oxford of DA Davidson.
Barry Oxford: Question going back to your leasing of the current building still outstanding for 2018. What kind of - to the extent that you can, can you give us an idea of what type of traffic you're seeing and what type of downtime we might anticipate?
Michael Landy: I'll turn it over to Rich. Rich, please take that.
Richard Molke: So specifically what are you talking about, our Charleston building?
Michael Landy: He's talking about the Bedford Heights in Cleveland and he's talking about the Charleston, South Carolina. And perhaps he's also talking about the vacant building in Pittsburgh.
Richard Molke: Sure. So, Bedford Heights, that exploration is coming up at the end of the month and we anticipate that that will have a long term renewal attached to it shortly. As far as our Charleston building, we've had a lot of interest given the strength of that market and we also have positive news on that one shortly as well. And our Monaca facility in the Pittsburgh market, which is close to the $6 billion Shell cracker plant that's going up, we also had a lot of good traffic and we also have positive news there too. So, everything is going very well on those.
Barry Oxford: Mike, on the Amazon, you did second lease. Could we anticipate more as you continue to move into 2019 from that company?
Michael Landy: Sure, Barry. There's so much of the new build-to-suit construction has been for Amazon. So we will chase Amazon deals and hopefully continue to win Amazon deals. Two-thirds 3 of the new construction in spec, and we don't invest in the spec. So Amazon is a big component of industrial demand and I see the relationship between Monmouth and Amazon growing over time.
Barry Oxford: And then a last question kind of following up on that. You have some very nice build-to-suit due to come on line. What are your guys seeing kind of behind that as far as the marketplace in the build-to-suit? Is there still fair amount of product out there or are you seeing that shrinking?
Michael Landy: I think it's going to continue to ramp up. The economy now is set over 4% growth. Industrial house is the consumer spending. I don't see a reason for it to abate. It's coming back strong from the financial crisis, when it was pretty much shut down. And with consumer spending moving from traditional brick-and-mortar online, you need more industrial space and so the building bigger buildings, I think Home Depot announced hundreds of new buildings - a lot of the tenants need to increase their omnichannel capabilities. If you look at the industrial market throughout the country is only 5% vacancy and then you drill down on that 500 basis points of vacancy it's all order low clear what I consider obsolete product from the omnichannel standpoint. So if you look at the omnichannel capable industrial it's fully occupied in and demand is increasing and there needs to be more supply. It's just going to continue. Gene I'm sorry did you have a comment on?
Eugene Landy: On what? I know you covered everything really well. My notes simply going back to the issuance of preferred were REIT that really believes an issuance preferred. The return on our shareholders investment can be enhanced by leverage. Our leverage is risky but leverage is not risky when you use preferred stock because preferred stock can be called if interest rates go down and you can keep the preferred as interest rates remain. The personal situation with Monmouth lease is excellent and everyone here has covered it very well. You haven't heard from me because it wasn't so far.
Michael Landy: Barry, what else you have?
Barry Oxford: I think that is it for right now. I appreciate it. Thanks for the color guys.
Operator: This concludes our question-and-answer session. I'd like to turn the conference back over to Michael Landy for any closing remarks.
Michael Landy: Thank you, Laura. For those of you listening to our calls regularly, you might be wondering why Michael Boulegeris from Boulegeris Investments was not on our call today. Michael Boulegeris passed away suddenly last week at the age of 57. Mike was a long term shareholder of ours and he was actively involved in the most constructive and productive manner. Mike was a man of great character and truly an extraordinary person. We always remember Mike as a deep source of strength and inspiration. Mike will greatly be missed but he will not be forgotten.
Operator: The conference is now concluded. Thank you for attending today's presentation. The teleconference replay will be available at approximately one hour. To access this replay, please dial U.S. toll free 877-344-7529 or international toll 1-412-317-0088. The conference ID number is 10120748. Thank you. And please disconnect your lines.